Operator: Good morning, and welcome to eMagin Corporation's Third Quarter 2021 Earnings Conference Call. Please note this event is being recorded. [Operator Instructions] I will now turn the conference over to Mark Koch, eMagin's CFO. Please go ahead.
Mark Koch: Thank you, and good morning, everyone. Welcome to eMagin's third quarter 2021 earnings conference call. Before we begin, I would like to remind you that in the following prepared remarks and in our Q&A session, we will make statements about expected future results that may be forward-looking statements for the purpose of federal securities laws. These statements relate to our current expectations, estimates and projections and are not guarantees of future performance. They involve risks, uncertainties and assumptions that are difficult to predict and may not prove to be accurate, especially in light of the effects of the current pandemic. Actual results may vary materially from those expressed or implied by these forward-looking statements, and we undertake no obligation to update these disclosures. These forward-looking statements should be considered only in conjunction with the detailed information contained in our SEC filings, including the Risk Factors described in our 2020 Annual Report on Form 10-K and our Form 10-Q to be filed later today. During this call, we will also refer to adjusted EBITDA, a non-GAAP financial measure to provide additional information to investors. A reconciliation of adjusted EBITDA to net income, which is the most directly comparable GAAP financial measure, is provided in the press release that we issued this morning. Non-GAAP financial measures, such as adjusted EBITDA are not meant to be considered in isolation or as a substitute for our GAAP financial measures and financial statements. With that, I will turn the call over to our CEO, Andrew Sculley.
Andrew Sculley: Thank you, Mark, and hello, everyone. Thank you for joining us today. We hope that you, your loved ones and work colleagues are continuing to stay safe. On today's call, I'll provide some key takeaways from our quarterly results and provide color regarding our technological advances and equipment schedule. Mark will then discuss our consolidated results in greater detail. In the third quarter, we reached a number of important milestones and continue to set the standard for innovation and performance in the microdisplay industry. In addition to our proof-of-concept display work for a Tier 1 AR/VR customer, we developed the production capability to satisfy demand for our high brightness XLE displays and created prototypes of what we believe are the world's brightest full color OLED microdisplays. These prototype microdisplays use our patented Direct Patterning or dPd technology to fabricate industry-leading combinations of luminance and resolution. On October 29, we unveiled these displays to an audience of leading OLED industry analysts showcasing their vivid full color high resolution performance with a maximum luminance of over 10,000 Candela per meter square. This was a historic moment not only for eMagin, but also for the industry, and it positions us as a true disruptor in the OLED microdisplay space. Our proprietary dPd technology directly patterns primary RGB color OLED emitters on our silicon backplane, which creates ultra-high brightness light output at ultra-high resolutions with brilliant colors. This is in stark contrast to competing products that require color filters with white OLED, which sacrifice significant light output. The 10,000 Candela per meter square or nits, full-color brightness, high resolution and high contrast that we achieved is beyond the threshold requirements for fully immersive AR and VR devices. It will alleviate motion artifacts and help to overcome inefficient optics. According to our customers, even immersive VR headsets for which we have designed high resolution displays require over 10,000 Candela per meter square. This brightness will allow our military, consumer and commercial customers to implement new and advanced features that to date have not been technically feasible. This achievement represents a 20-fold improvement over our typical white with color filter XL micro displays and the brightness 3x to 4x greater than our new XLE microdisplays. By comparison to our dPd luminance, a typical laptop monitor achieves a brightness of 250 Candela per meter square, while a high end smartphone approaches only 1,000 Candela per meter square. Furthermore, our dPd displays contain more than 2,500 individually addressable pixels per inch, or PPI, which generate remarkable clarity and resolution compared with typical laptop screens of 330 PPI and OLED smartphone screens of 600 PPI. As we continue to advance this technology, future dPd milestones will include the addition of tandem OLED structures and other enhancements that will take the performance of AR/VR headsets and heads-up displays to even greater heights. We believe our OLED dPd technology is ahead today and will remain ahead. Regarding our other technical achievements this quarter, in September, we completed the manufacturing qualification process for our high-luminance and power-efficient XLE displays and began to ramp up production to meet customer demand. Our current XLE displays are qualified at over 1,500 Candela per meter square and are already included in a major design with a military customer. These displays use our existing backplane and are compatible with designs used by many customers and in that way, provide an upgrade in luminance levels. We also completed a medical version of our white on color filter OLED display that uses an advanced color filter to render the level of color fidelity required during surgery and other medical procedures. Also in the third quarter, as previously announced, we completed the process of designing, specifying and ordering equipment to be purchased under our $39 million defense production Title III and IBAS funded grants that we were awarded last year. As of the end of the quarter, we have taken delivery of four pieces of equipment and extended $12.2 million in progress payments. We also completed the design phase and placed an order with a vendor for an advanced production capable dPd organic deposition tool. Once delivered and installed, this tool should help to improve our yield and throughput and result in qualified production of our full color OLED high brightness dPd technology. Overall, we remain on track and on budget with the requirements of these important government grants. Moreover, we're excited to have the support of U.S. Senate Majority Leader Charles Schumer, who recognizes the importance of our efforts in support of national security priorities and the continued growth of the Hudson Valley as a hub of technological innovation. In terms of revenue, our third quarter results were mixed, with continued display revenue growth in our ENVG-B program and increased shipments to medical customers. However, our year-over-year decrease in total revenue reflected the timing of certain military orders and $1.3 million in shipments that are delayed until the fourth quarter due to production issues and unexpected manufacturing tool downtime. To address manufacturing throughput and yield issues, we are working with an industrial engineering firm to improve our overall operating effectiveness. In addition, this firm is providing support in our effort to obtain the AS9100 quality certification during the first quarter of 2022. We expect these efforts to have a positive impact beginning in the fourth quarter and to be additive to the yield and throughput improvements anticipated from the new equipment provided under our Title III and IBAS programs. Overall, as of the end of the third quarter, our sales backlog grew to $14.9 million, up from $10.3 million at the end of the second quarter, reflecting continued strength in bookings for the military night vision and eye care markets. Additionally, we are experiencing raw material pricing pressures, and are working to manage potential changes in allocation from vendors due to supply chain issues in the semiconductor industry. With that, I'll turn the call over to Mark, who will discuss our financials.
Mark Koch: Thank you, Andrew, and hello, everyone. Turning to our Q3 numbers, total revenues were $5.8 million compared with $7.3 million reported in the prior year period. Total revenue consists of both product revenue and contract revenue. Product revenues for the third quarter were $5.3 million, a decrease of $1.7 million from product revenues of $7.0 million reported in the prior year period. The year-over-year decrease primarily resulted from unexpected downtime experienced with manufacturing equipment and resulting capacity constraints that delayed $1.3 million in display shipments into the fourth quarter. Contract revenues were $0.5 million compared with $0.3 million reported in the prior year reflecting an increase in development work associated with the contract of a Tier 1 consumer company. eMagin is continuing to work on a proof-of-concept and anticipates ongoing contract revenue with this customer. Total gross margin for the third quarter was 10% on gross profit of $0.6 million compared with a gross margin of 23% on gross profit of $1.7 million in the prior year period. The year-over-year decline reflects decreased shipments of displays, combined with the impact of lower manufacturing volumes and decreases in period costs capitalized into inventory due to equipment downtime that occurred during the third quarter of 2021. Operating expenses for the third quarter of 2021, including R&D expenses were $3.9 million compared with $3.6 million in the prior year period. Operating expenses as a percentage of sales were 67% in the third quarter of 2021 compared with 49% in the prior year period. The year-over-year increase primarily reflects the impact of increased share prices on our calculation of non-cash stock compensation expense during the current quarter. Operating loss for the third quarter of 2021 was $3.3 million compared with an operating loss of $1.9 million in the prior year period, primarily reflecting the decreased gross profit, as mentioned above. Net income for the third quarter of 2021 was $1.3 million or $0.01 per share. After adjusting for the $4.7 million change in the fair value of the warrant liability during the third quarter, net loss was $3.7 million or $0.05 per share on a fully diluted basis compared with a loss of $3.5 million or $0.06 per share in the prior year period. Excluding the impact of the $1.8 million change in the fair value of the warrant liability for the prior year's period, net loss for the third quarter of 2020 was $1.7 million or $0.03 per share. Adjusted EBITDA for the third quarter was negative $2.1 million compared with a negative $1.1 million in the prior year period. Turning to the balance sheet. As of September 30, 2021, the company had cash and cash equivalents of $7.3 million and working capital of $11.1 million. During the third quarter, the company borrowed $1.6 million under its asset-based lending facility. Borrowings and availability under the ABL facility were $2 million and $1.9 million, respectively, as of September 30, 2021. With that, we will open the call for questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of Kevin Dede with HCW.
Kevin Dede: Thank you. Good morning, Andrew. Thanks for taking my question. So can we just sort of dive in a little bit more on the $1.3 million delay, the tool issue. Meanwhile, you've got the $12 million spend from IBAS and Title III. I'm just wondering -- I know you say this situation rectifies itself this quarter. I guess, I'm just wondering how you sort of prevent it going forward.
Andrew Sculley: Yes. A couple of things are important. One is the – although, we took delivery of four tools, they're not all qualified and installed. So we have to do that. And the other thing that you remember, of course, is we do have tools that go down that need to have maintenance in terms of the vendor coming in to help us out and spare parts. And we are experiencing some difficulty with the situation in the supply chain that's taking a little longer. And the $12.2 million, although that's a large percentage of the $39 million. Some of it is, for example, a payment upfront for the OLED deposition tool that will be in at the end of 2022. And why do we think it will be better in this quarter? We're clearly doing a lot of work on many things. And we mentioned during the call that the external help we have in that external help was significantly around the setup for a tool and the setup we improved the time of the setup by 50%, and that time will then go to manufacturing as opposed to tool setup. And that was something that is done by -- sorry for the word, but it's Kaizen, is a Japanese word and an effort that we are familiar with, but they helped us do this. And that is giving us some real benefit.
Kevin Dede: Okay. Thanks, Andrew. So on the -- can we talk a little bit about the F-35? I know one of your competitors got an extension, and we haven't really talked about it very much, I think since the June quarter even. And I was wondering where you think the review of your OLED screen is in in that upgrade cycle?
Andrew Sculley: Well, I'll broaden that to aviation because I can't really talk about it, unfortunately. Maybe our competitor can, but we cannot. So -- but we are supplying displays with monochrome green, very high brightness. We can drive them beyond 40,000 Candela per meter square. And the vendors to whom we supply, really one vendor, is getting them. And we have orders that go next year and the year after, and they're performing very well. We're very excited about this. And as you know, we did design a display specifically for aviation.
Kevin Dede: Yes. No, I understand it has fixed wing applications as well as rotary applications, if I understand correctly.
Andrew Sculley: Yes. That is correct. Let me just say that the OLED structure that we designed that gets beyond 40,000 nits or Candela per meter square, that one we can put on other display resolutions, and other display resolutions are going into rotary as well. And by the way, that's not just a U.S. statement. There are other very important international customers.
Kevin Dede: Okay. The -- can you say that it's moved to production? Or is it still sort of LRIP?
Andrew Sculley: Well, LRIP is a good statement, but it feels to us like it's moved beyond qualification.
Kevin Dede: Okay. Can we dive in a little bit more on the AS9100 quality certification coming up in the March quarter? How does that change your appearance to customers?
Andrew Sculley: Sure. Well, remember, that's the aviation version of ISO, and forgive me for saying it that way. But -- so it's a step beyond ISO. And our customers really -- every time they come to us to say, are you ISO certified? The answer is no, but we're going to be AS9100. So it's a real plus. And we are especially interested in implementing the things that will help us improve.
Kevin Dede: Okay. I still -- I'm a little unclear on the marketing positives.
Andrew Sculley: Oh, customers are impressed with AS9100. It's a step beyond ISO.
Kevin Dede: Just because they know there are certain quality measures met, I guess?
Andrew Sculley: Yes, of course, that's the whole purpose. Yes, there are quality measures. And really, what happens is you have somebody who looks at you says, hey, tweak, this tweak this. And then we have an external auditor come in and say, this company is certified as a quality vendor under the AS9100. It's a tough standard to meet, and we believe we're no problem at all.
Kevin Dede: Okay. So backlog was up more than $4.5 million sequentially.
Andrew Sculley: Yes.
Kevin Dede: And just wondering if you see a lot of that going out in the fourth quarter or if you think it will take longer given supply constraints?
Mark Koch: So Kevin, yes, I mean, we have a significant volume of shippable orders in the fourth quarter. The backlog extends, obviously, longer than one quarter. We're continuing to see good bookings in really in the military space. Our backlog is continuing to increase. Obviously, some of the increase was due to the $1.3 million that did not ship in Q3, but we're in a good order position for Q4.
Andrew Sculley: The other note is that the good news here, too, is that the enhanced night vision goggle binocular for which we supply displays to both prime contractors is continuing to increase. That's because the second vendor is coming on board significantly. Yes, it was good news.
Mark Koch: And we're also seeing some good orders in the eye care market as well, Kevin.
Kevin Dede: Yes. No, no, you made both those points in your prepared remarks. And the ENVG-B, Andrew, can you please remind me which branch of the military that addresses and I guess, sort of the deployment within that branch?
Andrew Sculley: Well, it's foot soldier. So it can be in the army. It can be in the marines, for example. And there are other versions of that, that are going outside the U.S. and not from us, obviously. The prime contractors are selling other versions of that outside the U.S. So the volume is significant.
Mark Koch: Yes. And it's been very well received by the troops in the field.
Andrew Sculley: Yes, we do get feedback from our vendors, and we're very happy with what we've done. Very happy to support the U.S. military and the other militaries that are friendly to us.
Kevin Dede: Can -- okay. Can we talk a little bit about the eye care market? Mark, as you alluded to it, it's more -- if I understand correctly, it's more than one customer. And I think the main one is overseas. Can you just talk a little bit about how you see that business expanding?
Mark Koch: Well, yes, I mean we just see it continuing. It's for surgery, right, for mapping the eye for the cornea. We just continue to get a strong order flow from that. I think it's an ongoing market. We probably are -- I think it continues to grow as we sort of move past the COVID and elective surgeries come back fully online.
Andrew Sculley: A couple of other things. Just we did mention in our prepared remarks about the color space that we've used some new material for a color space, and this goes beyond -- it goes to surgery. We're working with a company who really appreciated our R&D efforts to move beyond where we were and satisfy what they need. And we would expect that to grow too because a near-eye display works very well in this case. Also, the other two that are growing is, one, is the veterinary medicine. We have additional companies coming to us for that. and that's we put on a headset and go out to the large animal as opposed to bring the large animal into your office, I'd say, with a little humor. So that's a very important market and the other one the pandemic that had squashed for a long time was the thermal scope for hunters and that's going well now, too. So we see continued growth in these unmilitary markets.
Kevin Dede: Okay. And continuing that thought, you mentioned an October event where you showed your prototype for the OLED at 10-K nits. Yes. Can you add a little more color to that, Andrew? What was sort of the construct, what sort of feedback did you get? And I mean, I know you said it was positive, but I guess who offered it to you?
Andrew Sculley: Okay. We ended up getting a number of industry analysts in the room with us. We showed a WUXGA, which is 1,920 by 1,200 resolution and measured it with them in the room. They saw us measure it, and they could hold the measuring device, too. And we actually got, as one of them said to 1,130. So -- sorry, 11,300, and they were very impressed with what they saw. We also showed a 4,000-resolution display, full color with high brightness was the first one that we did, and they were very impressed with that resolution. And everyone realizes in that room, there were three analyst companies in that room plus additional people on the phone. Unfortunately, they couldn't see the display. The analysts, for example, were from the display supply chain company that does market research, and they put out articles on it. The other person worked put out an article in the SID magazine and the one other guy has put out an article also. So there are technical articles out there on the displays. I have to mention that it's -- sometimes it's tough for people to understand. But for the virtual reality market, let's use that because that's one that it's an occluded view. You can't see the outside. It's only what the display gives to your eye, and people sometimes don't understand why high brightness is necessary. And this -- these statements are not coming from me. They are what we hear when we go up and down the U.S. West Coast and Asia, everyone tells us for virtual reality even, for an immersive virtual reality, I need high brightness for two reasons. One of them is I need to have virtually no motion artifacts. So when I -- it's a head tracking device. So when I spin my head, I can't have anything in my view, blurring. And when I run the display normally, that's what happens. So what I need to do is I need to run the display only for 10% of the on time. That means I need 10x the brightness. And if I want 200 Candela per meter square to my eye, I need 2,000. And then as you might have guessed, all optics are not 100% efficient. And the optics wanted for these VR devices are 20% or less efficient. And the reason they're that way is because I want a small form factor so that I don't have a big dive mask type thing on my head. So if I take 20%, I need 5x that 2,000, so I need 10,000. That's the minimum that everyone has told us. And the good news here is we have reached that threshold beyond it, as I said earlier, so that we are opening up the market for immersive VR. And obviously, if you have an AR device that's immersive, you need the same thing. And it has to fight the light from the outside also, so it even requires more. So we have the threshold. We haven't seen anybody's display above that. We've heard things like 7,000 or 5,000 when they talk about tandem architecture. And the thing you have to understand is our displays that reached 11,300 are just single-stack OLED. They use very efficient OLED in the red and the green phosphorescence, sorry for the word, and the blue is still fluorescent. But the good news is we can do tandem architecture, too, and double the light output. And everything else a white with color filter display can do like microlens array or microcavity, et cetera, and by the way, our microcavities can be directly patterned so we can do even better. So the point is we're ahead today of white with color filter, and we'll stay ahead. The one other thing you have to realize is that when you think about white with color filter, you know that the color filters throw away two-thirds of the light by design. So you're only left with one-third of the light. So if we're at the same luminance, we start 3x better, but color filters aren't 100% efficient. So it's really 3x to 5x better. So remember why the military came to us in the first place? It was power. So if we run our direct pattern display at the same brightness as a white with color filter, our power is going to be 3x to 5x better. So when it's up and running with the new tool, you have to ask the question, why would anybody want to use white with color filter for full color. That's important to us in our current military full-color markets. So the new tool that we're getting that's part of the $39 million funding for the government, that new tool is capable of directly patterning in production as opposed to the R&D effort we have now. And it's a much bigger tool, and we'll be able to do all the displays we do today. It can do white with color filter. It can do monochrome green, et cetera, and it can do direct pattern. So when that's up and running well, remember the tools delivered at the end of next year, when that's up and running well, you're going to see efficiency and color that no one else can match. That's why we're so excited.
Kevin Dede: Okay. And that tool slated for about a year from now, correct?
Andrew Sculley: Yes.
Kevin Dede: And you expect it up and running, right? You'll have it on board.
Andrew Sculley: I expect it to be in and installed, and we have to qualify it.
Kevin Dede: Okay. How long is that process would you imagine?
Andrew Sculley: Well, I think three to six months is what we're guessing. However, just think for a minute, we actually make and sell direct pattern displays today from this R&D equipment. So during that qualification process, we will make and sell engineering prototypes. I just didn't want to leave you with, hey, you wait six months and you'll get one display out.
Kevin Dede: Appreciate that. Appreciate that. So the tested display at 11,300 nits, was that full color? And could you give us an idea on the dimensions? Because I know field of view is a big deal, too.
Andrew Sculley: Yes. In this case, remember, the display was 1,920 by 1,200. So it's about 0.86 inches in diagonal, if I'm remembering correctly. So that -- and by the way, the measurement was a full white screen. So it was the maximum luminance we got was 11,300. Normally, when a display is measured for peak luminance, it's a small box because then you can send more current through that small box. We didn't do that. Full white, so it's full color, if you will, red, green and blue, all turned on 11,300 Candela per meter square.
Kevin Dede: Okay. I know you were working on taking display of similar dimensions in stitching it so that you could increase the diagonal, how...
Andrew Sculley: Yes, let's be careful with stitching. I'm afraid everybody on the phone will think that we're pasting displays together. So we did and showed during that a display that was 2.1 inches in diagonal. Now it's just one piece of silicon under there and directly pattern OLED on it. And the stitching comes about because the foundry has to stitch. And by that, I mean, you can't get the field done in one shot. You need to do multiple shots from their lithography equipment. In other words, a stepper isn't as big as the display. The field of the stepper isn't as big as the display. So the foundry had to stitch and by the way, we had to stitch our anode. And it's something to remember is that if we were off in that stitching, if we weren't capable of doing it perfectly, you and I will pick up on something that's a little off. One line is a little higher in the second half of the display versus the first. but no one saw any issue, whatever, and we measured no issues. So we have the capability of making these displays.
Kevin Dede: So at 2.1, do you think you'd be able to generate greater than 10,000 nits?
Andrew Sculley: Oh, yes. That's the goal. Absolutely.
Kevin Dede: Okay. What's your -- what do you think your time line is to that?
Andrew Sculley: Well, we may be working on a -- with a Tier 1 today. It's not the full house resolution display, and I can't say anything about it. But obviously, the minimum goal has to be above 10,000 Candela per meter square. And when you think about a VR display, as I've said in the past, in technical talks, I want an immersive view, so I want the field of view that my eye can see. Each eye has to be large. And if I do, a 100-degree field of view, I'm making the arithmetic easy for me and I want to have at least 40 pixels in every degree, somewhere between 30 and 60 is good. If I want 40 pixels in every degree, I need a display that's 4,000 resolution. That's where that resolution came from. So yes, we're working on a high-resolution display with direct patterning. And it's got to get above 10,000. Every display has to be above 10,000 Candela per meter square for an immersive view. Well, it's a pleasure to talk to you, Kevin. It's a pleasure to be able to show my enthusiasm because this is really a terrific moment, and we have shown that we can do it on larger displays, too.
Operator: Thank you. Our last question comes from the line of Mike Well. Your line is now open.
Unidentified Analyst: Good morning, guys.
Andrew Sculley: Good morning, Michael. How are you?
Unidentified Analyst: Good. Andrew, I was hoping you might be able to share an update on any progress with the manufacturing partner on the consumer side?
Andrew Sculley: Well, as I've mentioned, there are companies that we're talking to that are interested. And the goal is -- well, our goal is to make a deal with them, and we're working on that. The other goal is to produce the proof of concepts for this Tier 1 that we're doing today and then get them to sit down with us with the right manufacturing partner, sorry. So we are making progress on that. We have one company that's very interested and has lots of capacity.
Unidentified Analyst: Okay. I'm not sure how much you can share on this, but how do you think that something like that looks when it gets done? Is that similar to a royalty payment that you would receive, say, with the licensing agreement? Or what does that look like?
Andrew Sculley: Well, certainly, there are a few ways that it could be done, and a royalty licensing is an easy way. We can also be a sales arm and we can -- you could think about doing something jointly in having us be involved significantly in the entire venture. So I think the easier way to think about it for your benefit is a royalty license -- royalty-bearing license.
Unidentified Analyst: Okay. And I just -- I think you kind of touched a little bit on this with Kevin, but it seems the market is anticipating several consumer companies to come up with next-gen headsets in 2022. I know, you have to be careful with your confidentiality agreements. But maybe if I ask it this way, as these headsets are shown or demoed and some of the specs come out. Can you remind us of maybe a few things that we might look for that would kind of -- that maybe a light bulb should come off and say that's got to be eMagin in there?
Andrew Sculley: Well, right now, some of the top-end headsets are using LCD displays. So what they do for this, the brightness, no problem at all. The LC material is slow, so what they do is pulse the backlight. And when I say LCD displays, I'm not talking about microdisplays. I'm talking about ones that are cell phone style, so it's LCD material with -- on a glass backplane and LEDs, for example, lighting. So that those high end headsets now are, for example, the ones that come to mind immediately are the Index or the Quest 2, ones like that are using LCDs. So if you see an OLED microdisplay, that's high resolution, I think 4,000, something like that. And is very, very bright because it has no motion artifacts, then you can think about us then. Today, the only company I know who's done over 10,000 Candela per meter square on a micro display is eMagin. And this is my knowledge and I even looking at press releases by companies, et cetera.
Unidentified Analyst: Okay. Is there -- with those NDAs, is there any term to those that maybe on when that product is released, you can stand up and say, hey, that's us or think just go indefinitely?
Andrew Sculley: No, they go indefinitely, but ultimately, the company is not going to have a problem, I wouldn't think in the long run, saying it's an OLED microdisplay of high brightness, right?
Unidentified Analyst: All right. Well, I’ll let you guys do appreciate you taking question there.
Andrew Sculley: Thank you, Michael. Just these companies are so secretive that they feel more secretive than SOCOM, the special operations group.
Unidentified Analyst: Understood. Congrats on your recent nits 10,000 goal.
Andrew Sculley: Yes, it was terrific. Terrific. So the team here did an outstanding job. Amal had his team there to demo the displays, and they were very impressive. And not only that measurement of brightness, but also the 4,000-resolution display was well received.
Unidentified Analyst: That’s awesome, thanks again.
Operator: Thank you. This concludes today's question-and-answer session. I will now turn the call back to Mark Koch for closing remarks.
Mark Koch: Thank you again for joining us today. We'd like to remind everybody we'll be presenting at the Ladenburg Virtual Technology Expo on November 18. This concludes the conference call. Have a great day.
Operator: Ladies and gentlemen, thank you for your participation. You may now disconnect.